Operator: Dear ladies and gentlemen, welcome to the Conference Call of thyssenkrupp. At our customers' request, this conference will be recorded. As a reminder, all participants will be in a listen-only mode. After the presentation, there will be an opportunity to ask questions via the telephone line. [Operator Instructions] May I now hand you over to Claus Ehrenbeck who will lead you through this conference? Please go ahead.
Claus Ehrenbeck: Yes, thank you very much operator. Hello, everybody. This is Claus Ehrenbeck from the IR team of thyssenkrupp speaking. Also on behalf of the entire team, I would like to wish you a very warm welcome to our today's conference call on the Q1 numbers. We released the numbers this morning and all the relevant documents for this call and for our numbers are available on the IR section on our website. I think with that I can finish my opening remarks and can immediately hand over to Johannes Dietsch who will lead you through the slides that will be present in the internet and afterwards we can then do the Q&A section. Johannes, please.
Johannes Dietsch: Well alright, okay. Thank you for the conference and introductory of mine. And also a warm welcome from my side for today's conference call and Q1 figures. Before we have a look at the financials, let me start with a short update on newtk. At Elevator Technology, we are fully on schedule with our transaction preparations, did its decision what we don’t do ultimately and with whom this targeted to be a very little at the end of this month. So, we are so to speak on the finishing line. A planned technology, we stringently work on the turnaround nevertheless we are also very a general opportunity to realize best owner concepts also so the pursuit of and one name either for the innovative businesses or for the entity plant technology as a whole. The FX books will be sent out shortly once the MDAs got potential interest parties are signed which is currently happening. And I am happy to say we have decent interest from high quality partners. Irrespective of the news flow at the beginning of the week that Premal Desai, a Member and Speaker of the Executive Board of Steel Europe is leaving the company. We will continue with our CO2 cut emission in 2030; there has been no change in this regard. Now pleased with Bernhard Osburg, he have an experienced successor who served as the Chief Commercial Officer on the Steel Europe bought before. And Oliver were casting and he was a substantial experienced manager will join and also was experienced especially in restructuring will support the Executive Board of Steel Europe as the CFO. All now we're facing major challenges in the steel sector as far reaching measures are necessary following the prohibition of the joint venture of Tata Steel and then all of the late challenges to the business to its former strength, a concept for its EU tension 2030 was presented to the Supervisory Board of Steel Europe at the end of December. At the moment, constructed negotiations and its co-determination on an advanced stage. Once the decision on the Elevator transaction is made, we will also announce further to lease that on the concept for Steel. At automotive and plant technology, we are well on track. Number one to be first thing we management companies and to delay of the organization and thereby ties in count reduction on this level. To counter balance external factors such as economic strength and market headwinds, we have initiated numerous restructuring measures and capacity adjustment across all businesses and corporate. Falling up to more than 500 million in measures excluding elevator technology out of which 80% are targeted for the full-year and are already substantiated and they are roughly 60% and currently being implemented. To this end, we already realized personnel restructurings of around 500 headcounts throughout the entire organization in the first quarter alone. So, let me start with the financials. Overall, order intake was down compared to previous year. While our industrial businesses developed stable, our materials business stays at a significant decrease. Which specifically materials services came in lower year-over-year due to more substantial fall in volumes and we knew to the decline in process. Steel Europe was significantly lower on the back of the three drivers. However, volumes came in stronger rising by 16% to 2.7 million tons on order intake level. Threatened by the demand, recovery from industrial customers, fuel cell centers and distribution customers mainly due to restocking for seasonal rains stronger quarters ahead. Driving hopefully recovering the lane forward. Despite cyclical headwinds, the order intake profile as on the industrial business remains encouraging, supported by a strong order intake at elevator technology, marking a new record try as well strong order intake at automotive technology. Regarding as of continued difficult conditions in the automotive sector which is driven by the continuing weak sales in the world's` largest market China, automotive technology award was up compared to previous years. Due to the ramp up of production of new plants and projects in particular for steering but also for dampers and crankshaft modules. Like on the system engineering, couldn’t escape the overall environment becoming and weaker compared to previous years. Industrial components came in lower mainly due to the cyclical downturn in the forging business especially crankshafts for heavy-duty engines. While bearing salt and hot water for good order suggestion in particular for wind energy in China. Again to mention, order intake and elevator technology mark the new record high with a book-to-bill ratio well above one and order backlog all suggesting a new record level at €5.7 billion. Overall, cost was driven by the positive performance in the Americas in new installation and 100 relation business in particular in the U.S. Now however, there're lots of puts it trenchers in particularly in over, they've lots of positive trenchers in particularly in the U.S. and China. And to be so on to some major project because our regions to mention a few examples here a central volume breaches at the Chicago or how airports for the new essential very good transit project in China. Or to a mutual think parts that will not spin. The largest market for new installation side, we saw promising growth in new regions compared to previous year, while highest pressure continued to persist in the market. Order intake its plant technology was down from the final year quarter which benefited from the major order in the mining business last year. Nevertheless, cement was up year-over-year on the back of medium sized order for cement plant in U.S. and smaller orders for components and services reflecting the recent pick up in customer activity. Demanded chemical plants was stable support by orders for electrolysis plant and equipment for example and energy-saving chloride production plant in Spain. Overall, we are looking into a promising project tunnel, the several mid-sized projects across all businesses. Finally, when marine systems came in as prior year level with all of the marine electronics for German customer and subcontracts for our customer in North Africa. Then, let me switch to the EBIT. EBIT adjustment for room, as expected, came in significantly lower compared to previous year Q1. The overall positive performance of our industrial business could not offset the significant shift to curve developed declined at our materials declines. Driven by the highly negative earnings contribution of Steel Europe, marking most probably the start of the cycle. Peak cash flow will pull out and they came in negative on higher level and thus in line with our guidance. We saw operational improvements especially at plant and automotive technology, marine systems as well as to Steel Europe. The latter one unfortunately burdened by the payment of the Cartel fine in the amount of 317 million. More in line with our seasonal pattern our materials business recorded a high net working capital build up in the first quarter. Given the limited visibility and therefore limited planning reliability for cyclical materials in order business, you maintain our cautious outlook for the full-year 1920. Expecting the EBITDA adjusted read on the level of prior year, and to expect the free, free cash flow before around a to be lower from cash, please yes. Of course we also have to keep an eye on the developing or on our viewable station particularly in China and the potential effect from to our business from the virus. As indicated in November, the first quarter outside proof and across all industrial business. On about Steel Group came in rather at the low end of transportation. With negative volume and price effects as low as higher raw material costs particularly on iron ore. Lots of business was driven by cost of lower capacity utilization and increased personnel cost and the temporary higher share of stock market exposure. At this thing, weak trading conditions were all the reason for the material services lower EBITDA adjusted, we set up when declining profit in both service units. Also, there is an opening in wind fall and losses. None other less, positive effect on derivatives cautioned the aforementioned development. AST came in lower and slightly negative compared to prior year mainly due to the downward price trend in stainless steel but there was also light. Automotive technology was clearly higher year-over-year due to the higher contribution mainly from dampers and crankshafts and supported by a one-time effect of premeasurement of pension plans outside of Germany. However, the ongoing and more negative performance of springs and stabilizers and from systems engineering remain a burden that we are addressing stringently. Industrial components was slightly up year-over-year on the back of higher earnings from bearings for wind turbines. While the forging business despise the early interaction of systematic cost reduction measures was fallen year-over-year due to strictly lower demand for components for heavy-duty engines and construction machinery. Elevator technologies EBIT adjusted in margin on track with EBIT adjusted surging to 12% and margin expended there 0.5% points year-over-year driven by sales growth and performance programs across all regions. Plant technology came in negative. However, improved compared to prior year among other things due to slight recovery in chemical and cement plant engineering and from a real-estate disposal in Mexico. EBIT adjusted at marine systems came in flat and break even and continues to be burdened by low margins on projects built. Despite the continuing implementation of measures and the reduce administrative rate of costs corporate headquarters costs us slightly higher only reflecting lower positive one-time effects compared to previous years. Despite the muted stock, we maintain our guidance for full-year and forecast sequential operational improvements in the quarters ahead specifically with seasonal upswing at our materials businesses and we see cautious signs of recovery due to restocking. For example at Steel Europe auto loans already came in significantly stronger supporting a recovery going forward. In addition, we have initiated numerous restructuring measures and capacity adjustments across all businesses and corporate to counterbalance economic and external factors. Already 80% percent of the measures targets for the year substantiated a 60% currently in execution. For fiscal Q2, we expect adjusted EBIT significantly below the prior year. It's the majority of our industrial business bound or about to at their higher year levels. The materials business will show a visible sequential improvements quarter-over-quarter. However, there will be lower year-over-year with Steel Europe remaining clearly negative in the second quarter while materials service this quarter had doubled, EBIT contribution in the quarter. Elevator technology will continue its positive earnings and margin expansion year-over-year where plant technology is nearly half its losses compared to prior year on the back of higher sales and backlog projects and increasingly improved cross-phase with regard to SG&A. Automotive technology marine systems corporate headquarter expect to be flattish year-over-year and at industrial component the cyclical lower demand for components is expected to outweigh the continued good performance on bearings. In line with our typical seasonal that on we expect a significant sequential quarterly improvement of our free cash flow before M&A. However, Q2 would be below the prior year figure and will come in most probably low to mid-3-digit negative numbers. Having said and reviewed our Q1 performance and the outlook, I'm now ready to take your question. Thank you.
Claus Ehrenbeck: Yes. Thank you, very much. And operator, please take over for the Q&A session.
Operator: Yes. Thank you. And we will now begin our question-and-answer session. [Operator Instructions] We've already received the first question. It is from Ingo Schachel from Commerzbank. Please go ahead, your line is now open.
Ingo Schachel: Yes, thanks very much. My first question would be on the Europeans steel business. On the strategy, you are saying that despite the CO change, you would expect continuity and not change the strategy at 2030 but still the performance in the quarter was I think quite weak and probably weaker than you would have expected and absolute as well as relative basis and of course the various COD parcels also in quite a big event. So, I'm just curious to understand how you're thinking about the strategy for Steel Europe within this framework has changed incrementally whether during the last few weeks you've come to the conclusion that you need more restructuring, more plant closures, more CapEx less CapEx or more proactive approach towards seeking partnerships and joint ventures or whether there's anything else that has changed incrementally during the last few weeks in your 2030 steel strategy?
Johannes Dietsch: Yes. Thank you, for the comprehensive question our steel 2030. The associate has been developed and still continues to be developed and being discussed within our company. We presented the strategies to the Supervisory Board of Steel Europe, AG, at the end of December and it includes performance programs restructuring as well as investments for competitiveness. This strategy will remain and its currently being discussed with core determination and yes we are going to proceed in also increased level of investments and capacity expansion and CapEx projects as well as some additional CapEx to maintain the competitiveness and improve the high quality grades output. This remains unchanged. The difference with the CEO was more on the way towards the goal and not on the target of this strategy and it's also really to be said that the so you needs to include restructurings and decreasing workforce and need really to adjust the cost space. This may also include network optimization with some adjustments of production sites but that is all to be announced once we have reached agreement with the workers council and the unions and stay tuned on that one. Let me reiterate at the end the strategy as well as in all top improved the competitiveness and the profitability ultimately at Steel Europe and this is going to be executed. At the end we'll clearly need a value creation with our Steel Strategy going forward. I hope it answers a bit to your questions.
Ingo Schachel: Yes. That answer is it's a bit and then of course for the rest I'm happy to wait for the announcement like this year on May. My other question would be on industrial solutions and then it's of course its early stage in the process but you were saying that you saw a decent interest in the process. Just wondering whether you could specify whether you see what you would call decent interest in all business units for industrial of plant engineering or whether that's something where it looks slightly more heterogeneous with regards to the interest in the various units?
Johannes Dietsch: Well, the process that we have been successful in preparing the financial text books and the information and [indiscernible] and then we are going to approach market participants and potential partners. First of all was signing an NDA a non-disclosure agreement before they received information memorandum. And that is currently ongoing from the feedback on the NDAs the interest looks promising but I can't tell you anything at this point in time then about details and it's especially not with nonbinding bits to campaign. That takes several weeks before we can get you in a communication here. Again from these important, the plant technology continuously works and the general management to improve the operational performance and on top of that we will then explore opportunities for best owner concepts for the interest of our customers but also for the benefit of creating additional value for our shareholders.
Ingo Schachel: Okay. That's directly a facial upsize and then they are looking for to the next updates on the next call. Thanks.
Johannes Dietsch: Thank you.
Operator: Thank you. Then we go to the next question. It is from Sylvain Brunet of Exane BNP Paribas. Your line is now open, please go ahead.
Sylvain Brunet: Good afternoon Johannes, Claus. First question on the utilization rate that you factored in the guidance completely for your new automotive plants and a related question to that is if you could give us another visibility is for then remember the status offshore your plants in China what are the challenges your teams are echoing and what are the remedies around that? And lastly obviously, the guidance unchanged stating November 19 is it fair to say that it's under review? Thank you.
Johannes Dietsch: Okay. Can you repeat the second questions around?
Sylvain Brunet: On utilization rates or on the guidance?
Johannes Dietsch: It's only a compression guidance. The guidance.
Sylvain Brunet: Guidance. Just wondering how much faith you would put in November 19 guidance given the developments in your exported to China and also the uncertainties around the automotive cycle.
Johannes Dietsch: Yes, good. Thank you very much. Question on automotive technology and our affiliation with regard to production in China actually after the Chinese New Year's holidays we started up most of our plants already in China and we are ready to produce and operational. However, few of customers have not yet started their production and it cannot be excluded that we will see disruptions actually in production and supply chains. Yes, cautious on that one currently we cannot quantify any impact from increased spread of the coronavirus in China and what this will mean for supply chain overall. Therefore we currently serving carefully see situation more or less on a daily basis but we have started up our production in China. And therefore on the back of this current situation we have not adjusted our guidance.
Sylvain Brunet: Okay, thank you.
Johannes Dietsch: Thank you.
Operator: Thank you. The next question is from Carsten Riek of Credit Suisse. Please go ahead, your line is now open.
Carsten Riek: Thank you very much, and good afternoon. I've two questions from my side. The first one, you still seem to be quite negative on the steel materials market even though I believe they are in a better shape or at least with sort of a regard for improvements than the capital goods markets over the next 12 months at least. Where do you see the main risk for your technology business in 2020 and what is currently covered in your technology business that spring on to order intake for 2019, '20. That's the first one.
Johannes Dietsch: Well yes, for steel markets or for material kind of it overall, we also hope on a cyclical recovery. We say that sequentially quarter-on-quarter we would see improvements in this fiscal year. And of course we are coming out from very low level house and pizza and have then that you are clearly not satisfied. Just a performance in Q1 where we are burdened with lower shipments, lower prices and higher raw material cost. This was a very unusual and unique situation. Now we see some recovery which is on the live. At the end of new tunnel with regards to pricing, we see also some restocking but visibility still remains low. And I cannot give you a precise outlook for the full-year. Nevertheless, we hope that we can improve then on the materials business as compared to Q1 or it will clearly be better. There are risks definitely without the there's a sick recovery. There are risk with regard to our customer especially automotive industry. And I believe that you know even more and better about automotive sectors than we do. And it's important customer segment for have some the automotive industry and also European makers somehow dependent on the situation in China. And in China of course we need to be cautious also in the development for this year. That can be a risk factor for our automotive technology business overall. Currently with the Q1, which also was not in a favorable market environment, we called it relatively strong say I think these the more intake and that is very helpful and make us very much confidence in confirming all right.
Carsten Riek: Perfect, thank you. The second question I have is on the target of lowering your overhead cost. And the obviously you have these ambitious targets of getting I think down to 200 million. The question I have because last time in the call you also mentioned that some of the costs are going back to other segments. Can you give us a little bit of color how much of the cost reduction is purely from cost-cutting? And how much of the cost do you think will have to go back to several of the divisions such as elevator in order to get a better understanding here what's happening on the cost side? Thank you very much.
Johannes Dietsch: Yes. Of course very much had Carsten. And first of all I would like to make that our G&A costs overall but across all businesses and all VAs, and it's not on in the corporate center. When we are talking about G&A cost you know up in the amount of 2.4 billion including back office locations for elevator service engineers. And those G&A costs 2.4 billion adjust, 400 million out of this was in the past with the corporate center. And in a corporate center, we said we want to reduce the pure governance task and for those tasks which are important for the board of management to see a business and to execute the portfolio measure and all these service part of the corporate center should be relocated back either on the service entities or into the VAs in the business area. On the way in restructuring the services, we have really also a reduction in workforce and also reduction in headcount whether it's at the level of those who are in the business itself and currently we are still working on the concept and aligning on the service line and the demand on the internal customers, but you can expect that we have significant cost reductions in this respect. For example, with IT environments we also foreseeing reduction cost. That means I cannot give you a precise number here, but please expect that a majority of the reduction of the corporate center will ultimately also result in overall cost reduction for the group.
Carsten Riek: Okay, that helps already. Thank you very much.
Johannes Dietsch: Thank you, again.
Operator: Thank you. The last question is from Bastian Synagowitz of Deutsche Bank. Your line is now open please go ahead.
Bastian Synagowitz: Yes, good afternoon gentlemen. My first question is just pulling up on the CapEx in steel. I guess we can separate the CapEx into two buckets besides maintenance one pocket being upgrades and deficiency and then the second bucket being mostly CapEx for technological changes to improve your mission profile. Can you please talk about these two buckets and how they will impact your CapEx numbers? Maybe also gives us some numeric guidance for the CapEx requirements for the auto years. That will be my first question.
Johannes Dietsch: Yes, thank you on this question actually yes you are correct. In the past couple of years on average investors is roughly 470 million in Steel Europe out of compared to 420 million in depreciation? So, we have and a bust depreciation level in the investment mode in steel Europe continuously out of the 470 million we have the majority in maintenance CapEx but also a good extension certainly in capacity expansion. The 470 million is foreseen to be higher in the coming years to go about 500 million. And then on top of that we are discussing currently about additional investments in the facilities here in Germany, especially in Duisburg. This could be up to 800 million to be spread over six years. Again there's still to be discussed and need to be negotiated an can only come in with the restructuring at the same time as well as a business case, a solid business case behind it that those investments reasonable on a payback period or internal investment, but we clearly see the necessity and the opportunity to improve our capacities also in terms of high grades quality of the automotive industry with additional investment in our newspaper plants.
Bastian Synagowitz: Okay. Thanks for the color. Just following up if I understand it correctly that does not then include any portion for the emission related investments which you may have to take just depending on whenever you plan to start. Is there any plan to kick off with this in the next one two or three years?
Johannes Dietsch: Well we are very consciously of course exploring the possibilities. ____ However, this is a pretty long term vision. We announced a target to reduce CO2 emissions by the year 2030 by 30% compared to last year's level. But it's really a long-term and we need support also from that; politics and government; and we need a solution for the question where to get green hydrogen from at reasonable cost and competitive prices. Otherwise it will be very difficult to execute such a program as a company alone.
Bastian Synagowitz: But can we assure then that those investments will not impact your CapEx budget in the next three years or so?
Johannes Dietsch: There'll be very limited impact on it on these in next three years, yes you can imagine thus.
Bastian Synagowitz: Perfect. Okay, thanks for clarifying. Then I've got another question just on the Materials profession, of your Materials Services business. If I look at the business cash flow here, I was just wondering why it had been So, negative in the first quarter given that we've seen a huge decline in nickel prices and obviously all of your peers surprised positive beyond working capital here. And had there been any restructuring FX or other components in these numbers we should be aware for is that mostly a function of a very strong fourth quarter with no addressing which just cost us working capital rebuild in the first quarter never-the-less. And maybe you could also let us know what your plans are for AST. At this stage it's obviously not the largest asset but again it's still terrifically non cause or if you could just give us an update on that front. Thank you.
Johannes Dietsch: Yes. We see this significance strings in Q1 in Materials Services and it's an average year, actually. And you are absolutely right that this' due to the optimization of our balance sheet data in September. So, usually it's been a pretty strong cash inflow in the fourth quarter and relatively weak performance in Q1. And especially if you look at our working capital and the supplier, we'll find the liability is maybe significantly came down. Therefore we it's clearly adjusted payment side, which means that yes it is an effect if we call it outside year optimization on September 30. We have not included significant amount for payouts on rate touching at a mix.
Bastian Synagowitz: Okay, thank you. And then, just on your plan for AST?
Johannes Dietsch: Well AST, in Q1 it was slightly negative but performed relatively volatile to peers. There's apparently no news I can share with you. Overall, we optimize the plant, we do our efficient investors here in order to stay competitive. But should there be option for partnering's or for supply chain partnership. We will take slow growth option but currently and I'm using that.
Bastian Synagowitz: But when you're up, basically you're not excessively soliciting this. At the moment your focus is over the on elevator and the industrials margin.
Johannes Dietsch: Yes, correct. And some of the business and the revenue business we’re also high, on the desk of our M&A department. Thanks.
Bastian Synagowitz: Okay, thank you. Thank you.
Operator: Thank you. The next question is from of Rochus Brauneiser of Kepler Cheuvreux. Please go ahead, your line is now open.
Rochus Brauneiser: Yes, here Rochus Brauneiser, Kepler Cheuvreux. A few follow-up questions. That 1) on the commentary we just made on the improved order situation on this deal side. I think we all know that seasonally the Q2 is one of your strongest board in terms of the steel shipments and it gets on average this has been always up like 15% overall at the average. Would you agree that this is this time well maybe more on the kind of 20% range and exceeding the usual seasonality pattern in terms as there might be a restocking component, would be the first question.
Johannes Dietsch: Well, I'm a bit cautious here, So, I have to give you a very precise guidance on Q1. What we can say is that the quantities in all our intake in Q4 also 60% up you know which still bring them to higher phase in Q2, which is not generally too much. And it is the user pattern that we have the upstream in spring. Here that we see also some restocking after Christmas but I wouldn’t say that this is more than usual. Is it -- and as yes proceed well, and I'll send them right after this three-week Q1. So, on the 60% order intake, we can also imagine a 20% more of shipment than in Q2 now.
Rochus Brauneiser: Okay, makes sense. Then secondly, when I'm looking at your crude steel production in the Q1. It was unusually high compared to your shipment levels. Is that -- so, I would guess this steel inventories have gone up now and what does that imply for your crude production in the second quarter. Is there any pressure to adjust inventories, what shall we expect on this side?
Johannes Dietsch: Yes, absolutely you're right. It's looking down my DIO and days fall on the inventories positive and the end of December higher than usual. And actually yes, we were burdened by the lower amount and lower shipments in it Q1, this was end of last calendar year. And we meet to have via shipments now in order to reduce inventory levels, what we foresee. But we have no plans to adjust the compared to see it or largely and descent at our in crude steel production.
Rochus Brauneiser: Okay. And then, on your process for plant, I think or you said this fact books are being sent after designing and then you get in a couple of weeks a first indication of what could be the kind of indicative evaluation. And what I'm curious about how shall we think about potential asset impairments for the plan technology business. What kind of evidence you need in terms of valuation that this is becoming a triggering event?
Johannes Dietsch: Well, 1) we assume we see that our turnaround problem has been improved and that we are working to both positive aid and cash flow in this business. 2) We don’t have significant assets on our balance sheet for PT, it's more people business and not a CapEx intensive business which means there are no need for any impairment that assess the more inventories. Of course if we are not able to achieve positive purchase price, then there might be an impact on our shareholders equity to come in negative. But I don’t see imbalance in this business.
Rochus Brauneiser: Okay, it is good. Thank you, very much.
Johannes Dietsch: Good.
Operator: Thank you. The next question is from Alan Spence of Jefferies. Please go ahead, your line is now open.
Alan Spence: Hi, thanks guys. And just one quick one left from my side regarding the restructuring. And if I added up it looks like there was about a 122 million in restructuring that rent to the P&L in Q1. First, if you could just confirm that that is the right number. Second, how much of that was a cash expense. And as we think about the difference between not 122 million number and guidance for mid three digit million this year. How should we think about the phasing in the remaining quarters in the year?
Johannes Dietsch: Yes. A quick update on the restructuring. 120 is the correct number, I think it was 124 to be precise, a lot of which 84 was with systems engineering. That was our plan that we announced already in November which included 640 provisions here in Germany. Here we set up the provision and cash out is to come in later. Another bucket was with copper tender. We have out of the reduction in workforce and then position. And here we cut out an amount of roughly 20 million. And the cash out was very limited, it was just 30 million to 40 million in the quarter, around that number. For the full-year which has the mid-3-digits of million number. I also have said before the effect on the P&L for provisioning what we hire and then the cash out we probably has all that like on a delay. The cash out what both numbers we said in both track of see its mid-3-digits of million number.
Alan Spence: Okay. Thank you, very much.
Johannes Dietsch: Okay. Good, thank you.
Operator: Thank you. The next question is from Luke Nelson of J.P. Morgan. Please go ahead, your line is now open.
Luke Nelson: Afternoon. Just a follow-up on to Europe. In November, you announced you've started trialing direct hydrogen injection at Duisburg. Is it possible to give an indication of how successful that's been, I know it's still early days but just anything in terms of the relative cost for that process or how you see that that cost of holding and what cost of hydrogen is being used for the process. And to what extent that will play a role in the division's goal to decarbonize over next couple of decades. That's my first question.
Johannes Dietsch: Well its, when we got to the frenzy of Greenfield, there are several technologies which you can offer. 1) We can replace coal with hydrogen, we can replace hardly in the existing blast furnaces and this is what you have done the testing. However, to be very honest and very clear, is a very costly exercise with regard to hydrogen? The next step was done be to really build new blast furnaces on the direct reduction model that hydrogen to completely replace and not only to adjust and complement coal. This is still years out to come. And another technology we are offering currently is not we are using CO2 as a feedstock for chemical raw materials in the so, called Carbon2Chem process. And so, we can offer certainly several solutions in order to arrive at Greenfield. But as I mentioned before, the key obstacle is currently clearly how and where to produce hydrogen with green energy or renewable energy and that is a need to be solved with some also by the politics and government. Does it answer your question?
Luke Nelson: Yes it does, thank you. Just a quite a follow-up, do you have any indication at what cost of hydrogen direct injection would be competitive?
Johannes Dietsch: I have only heard that it is significantly more expensive and that certainly will be difficult to convince our customers to pay the empty higher price for the end product. That need to be solved and I cannot give you any more.
Luke Nelson: Okay. And not from and my final questions just on again on still Europe and the thoughts on EU ETS space for from the start of next year, how that business is positioned. Any impacts from an earnings perspective that we should be aware of. And then longer term is there conversations with the ET about carbon border adjustments as well, thank you.
Johannes Dietsch: Well, yes. Now it becomes a little bit trickier for me. Thank you for the question, we are challenging now with CFO to be honest. And so, my discussions of our colleagues from Steel Europe, clearly that they don’t indicate is there any issue well in ETS in this current periods where we are covered. And we have not even like if there's a major problem for the next periods which would start in '21 I guess. But overall, the other aspect is clearly both for the level playing field with regard to import, once we are priced with a higher you see it to cost either on ETS or here to Texas and whatever might be. One of course, we will request also and but so, the to make sure that imports are burdened in same manner that we can stay competitive here in Europe. I guess it will be tricky to find us key on import Texas or import Carbon and come into duties and know that to manage this. For this aspect, we are also curious to see we are debating with politicians in Whitopia [ph.] and getting our input that has end when meet a system where we can complete here with European products and compare to the global imports.
Luke Nelson: Thanks a lot Johannes, I appreciate it.
Johannes Dietsch: Thank you.
Operator: Thank you, very much. Just there are no further questions. I would like to hand back to you.
Claus Ehrenbeck: Yes, thank you very much, operator. And also, our thanks go out to all the participants in this call here. And we of course as always abided with for you after the call and of course also in the next date to come. And yes we look forward to staying in touch with you and to continue our conversations. Thank you very much and bye-bye for so, far.
Operator: Ladies and gentlemen, thank you for your attendance. This call has been concluded. You may disconnect.